Operator: Greetings and welcome to Colony NorthStar Incorporated First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to turn the conference over to your host Lasse Glassen, ADDO Investor Relations. Thank you. You may begin.
Lasse Glassen: Good morning, everyone, and welcome to Colony NorthStar, Inc.’s first quarter 2018 earnings conference call. With us today from the Company is Richard Saltzman, President and Chief Executive Officer; Darren Tangen, Chief Financial Officer; Kevin Traenkle, Chief Investment Officer; and Neale Redington, the Company’s Chief Accounting Officer, are also on the line to answer questions. Before I hand the call over to them, please note that on this call certain information presented contains forward-looking statements. These statements are based upon management’s current expectations and are subject to risks, uncertainties and assumptions. Potential risks and uncertainties that could cause the Company’s business and financial results to differ materially from these forward-looking statements are described in the Company’s periodic reports filed with the SEC from time-to-time. All information discussed on this call is as of today, May 10, 2018 and Colony NorthStar does not intend now undertakes no duty to update future events or circumstances. In addition, certain other financial information presented in this call represents non-GAAP financial measures reported on both a consolidated and segmented basis. The Company’s earnings release, which was released this morning and is available on the Company’s website presents reconciliations to the appropriate GAAP measure and an explanation of why the Company believes such non-GAAP financial measures are useful to investors. In addition, the Company has prepared a table that reconciles certain non-GAAP financial measures to the appropriate GAAP measure by reportable segment and this reconciliation is also available on the Company’s website. And now, I would like to turn the call over to Richard Saltzman, President and CEO of Colony NorthStar. Richard?
Richard Saltzman: Thank you, Lasse. Good morning, everyone, and thanks for joining us. For sure, we've had a difficult beginning to the year based on headwinds experienced in our Colony NorthStar merger integration. This led to recalibrating expectations, including a reduction in our dividend to an annualized level of $0.44 per share. Nonetheless, we are very pleased with our first quarter results and corresponding strategic progress made year-to-date. First quarter Core FFO was $0.20 per share, and $0.17 per share excluding one-time asset sale gains and losses and income earned from carried interest. This was ahead of budget due to outperformance in most of our property sector verticals, albeit, some of which is likely to be only temporary in nature as well as various non-recurring items that were generally positive this period. In particular, certain likely restructurings in our healthcare portfolio, along with the impact of future monetizations in our Other Equity and Debt segment will somewhat dilute our run rate results over the balance of this year, absent other positive surprises. At the same time, we're making excellent progress on the strategic goals of buying back our securities accretive to offset some of the excess dilutions suffered last year as a function of the merger and growing our Investment Management business, the key to our future success and profitability. As we simplify and streamline, the focus will exclusively be on those areas, which are compelling from a risk reward standpoint and where we can rely on a predominantly third-party investor capital model. At the margin, this will permit us to shrink our balance sheet and become more asset light, while we add to profitability and maximize shareholder value. Various achievements during the first quarter demonstrates significant evidence towards how we plan to accomplish these goals. First of all, we raised approximately $2 billion of third-party capital from institutional clients. Our new co-sponsored Digital Colony Partners vehicle, which focuses on global digital real estate infrastructure such as data centers and cell towers, was a significant contributor to this total. In addition, we raised incremental capital in our U.S. industrial open-end fund and raised an initial tranche of co-investment capital for our Irish non-performing loan portfolio called Project Tolka. Looking forward to the second quarter and the balance of 2018, we are quite sanguine about additional institutional fundraising prospects, including another new initiative recently announced involving the acquisition of a large primarily European hotel portfolio from AccorHotels. In this latter instance, we are part of an institutional syndicate of investors where the preponderance of our participation will be co-invested out to other third-party investors that will generate Investment Management economics for Colony NorthStar. As mentioned last quarter, our 2018 financial budget assumes no contribution from any retail distribution channels. Notwithstanding, last week, we closed the merger of our broker-dealer with Steve Kantor firm, S2K, to create our new platform, Colony S2K. We've known Steve for many years and are very excited to be partnering with him and his organization based upon our confidence and his resourcefulness and creativity in building businesses over this nature. Therefore, any actual capital raising from this venture will be all upside relative to current plan. Another strategic significant one, accomplishment and milestone during the quarter, was the formation and concurrent public listing of Colony NorthStar Credit Real Estate Inc., which trades under the ticker symbol, CLNC on the New York Stock Exchange. In this instance, we had all the underlying pieces already in place, including a great track record and team. However, we needed to reorganize and focus in one large-scale place or entity, thus the impetus behind combining two of our non-traded REITs that were primarily focused on credit opportunities, NorthStar Real Estate Income Trust and NorthStar Real Estate Income II, with a meaningful portfolio of select commercial real estate debt and credit assets of Colony NorthStar, Inc. Stated another way, we took a core competency of ours and created a third-party permitting capital construct around it where we initially owned 37% of the equity. The Company starts with a gross capitalization of approximately $5 billion and substantial dry powder, consisting of cash and a new line of credit that we arranged. Real estate credit, along with digital real estate infrastructure, Europe and the industrial and residential property sectors are the select areas we remain most enthuse about from a supply-demand dynamics as we entered the later stages of the current real estate economic cycle. CLNC reported yesterday announcing first quarter core earnings of $0.44 per share and is off to a great start. CLNC is under levered relative to its commercial mortgage REIT peers and is expected to ramp up investment activity, which should be a positive catalyst to its earnings. Recent deal activity for CLNC has been focused on U.S. investments, up and down the capital stack, including senior loans, subordinated debt, and preferred equity. The Company is also looking to pursuing some attractive opportunities in Europe. It is also worthy to note that we are now reporting CLNC as a separate business unit and have removed it from the Other Equity and Debt, or OED segment. As of the end of the first quarter, the OED segment consisted of $4.3 billion in assets and $2.7 billion in netbook value, down from $5.7 billion and $4 billion respectively, at year-end 2017. This demonstrates the progress we are making in repositioning non-strategic OED assets into strategic programs and/or monetizing investments in our broader effort to simplify the balance sheet. Against this backdrop of strategic accomplishments, we have also been an aggressive buyer of our common stock. In fact, we have nearly completed the common stock repurchase program announced last quarter, having repurchased approximately $280 million of the $300 million planned authorization, 48 million shares at an average price of $5.79 per share. Buying back additional common stock in the future at a significant discount to our NAV remains attractive, but we also want to be mindful of our leverage levels as we do so. In fact, our near-term priority is to lower debt levels across the Company, including a reduction in our $1.6 billion of outstanding preferred stock. We currently have two callable series of preferred stock, representing approximately $353 million of prior redemption value, which have a blended 8.4% cash dividend yield, offering an opportunity to both delever and redeploy capital accretively. Our strategic vision for the Company remains unchanged: Simplify, streamline and grow our Investment Management business where we have a competitive edge, including by using our substantial balance sheet. In the continuum of publicly-traded companies that focus on pure alternative asset management to those who only own real estate without any adjacent Investment Management business, we sit in the middle with few peers. On the other hand, there is a much greater concentration of peers at the two ends of the spectrum: Alternative asset managers with limited to virtually no coinvestments and pure equity REITs, at the other and with no Investment Management business to speak off. With this is context and based upon our core competency of picking the best parts to invest in at any given point in the capital and economic cycles, it seems natural over time through growth of our third-party Investment Management business to move to a more asset-light approach as measured by a percentage of our assets under management. That is as we continue to be a net seller of assets and grow our AUM simultaneously, we will by definition, become a less balance sheet heavy company, and we will also reduce our leverage. In addition to playing to our strengths and DNA, this approach is also the more prudent one from a financial point of view. With less equity and balance sheet per dollars of AUM, we will generate a much higher return on equity even before including any carried interest or incentive fees that we may earn. In other words, less financial risk, while maximizing shareholder value, at the same time, more flexibility to favor those spaces, real estate and otherwise, that will generate the most compelling total returns from a risk-adjusted perspective, a particularly important investment present in the later stages of this economic cycle as interest rates are beginning to rise. Thus, our mission is clear, sell non-core, non-strategic assets, shrink the company at the margin through attractive repurchases of our securities and deleveraging and continue to grow our AUM and Investment Management business through the intelligent use of our balance sheet. Although there's still a lot of noise around the merger, we believe that all of those goals are slowly but surely being accomplished. And with a little bit of luck and continued good execution, hopefully we'll be able to accelerate these ambitions over the balance of this year and into 2019. So with that, I'll turn the call over to Darren Tangen who will take you through our quarterly results on a more granular basis. Darren?
Darren Tangen: Thank you, Richard, and good morning, everyone. As a reminder, in addition to the release of our first quarter earnings, we filed a supplemental financial report this morning, and both of these documents are available within the Public Shareholder section of our website. Today, I will review first quarter results, analyze the performance of each of our six reportable business segments and conclude with some comments on capital structure and liquidity. Turning to our financial results, first quarter net loss attributable to common stockholders was $72.7 million or $0.14 per share. As we had anticipated and previewed last quarter, we incurred a significant non-recurring and non-cash GAAP loss this quarter related to the elimination of the management agreements associated with the two credit-oriented non-traded REITs, NS I and NS II, that terminated as a result of the Colony NorthStar Credit Real Estate, or CLNC transaction closing. The former NS I and NS II management agreements represented intangible assets on the Colony NorthStar balance sheet with a carrying value of $139 million and were written off without a corresponding new intangible asset being created for the CLNC management agreement. However, from an economic perspective, we believe the new CLNC management agreement is materially greater in value than the prior agreements with NS I and NS II. The elimination of the two former NS I and NS II management agreements were non-cash charges, and therefore, added back for Core FFO. First quarter Core FFO, was $115.1 per share and $0.20 per share compared with Core FFO of $0.16 per share in the prior quarter. First quarter Core FFO included net gains on sale and carried interest income totaling approximately $16 million or $0.03 per share. Net gains were principally driven by a $10 million step up in basis related to the various loans and credit assets, we contributed to CLNC, plus realized gains from certain CMBS liquidations within our Other Equity and Debt, or OED segment. The step up gain resulted from the value of the CLNC shares received by Colony NorthStar at an opening book value of $24.50 per CLNC share, relative to our $1.2 billion carrying value of the asset CLNS contributed to the vehicle at closing. Separately, the carried interest income was produced through our ownership interest in a non-wholly-owned real estate management platform and from our industrial open-end fund. The first quarter Core FFO result was ahead of our internal budget and driven by better-than-anticipated performance in certain segments, including healthcare and credit, and various other non-recurring items, which were mostly positive this quarter. However, our internal full-year 2018 Core FFO reforecast remains in line with our expectations from last quarter, primarily due to a somewhat weaker outlook for healthcare, hospitality and interest rate costs. Now I'll provide a brief summary of the financial results for each of our six reportable segments starting with Healthcare Real Estate. We ended the first quarter with 413 properties compared to 417 at the end of the prior quarter after shedding some non-core properties. The Company's ownership interest in this segment remained at approximately 71%. First quarter 2018, same-store consolidated NOI increased from the fourth quarter 2017 by 6.5% from $76.4 million to $81.3 million. The increase was primarily driven by a $3 million termination fee received from a former tenant and medical office building. Further fourth quarter 2017 consolidated NOI was lower by approximately $1 million due to non-recurring uninsured Hurricane Harvey expenses. Correspondingly first quarter Core FFO was $23.1 million, a $5.6 million increase over the prior quarter. While first quarter performance and earnings were positive over the prior period we still expect Healthcare Real Estate industry conditions to remain challenging over the remainder of the year and we expect full-year results to remain in line with our budget from the beginning of the year. Moving onto the Industrial Real Estate segment, as of March 31, 2018 the industrial portfolio consisted of 378 properties totaling approximately 46 million rentable square feet which was 94% leased. This represents an increase of nine properties in 2.3 million square feet over the prior quarter. The Company's ownership interest in the segment decreased slightly from 41% to approximately 40% at the end of the quarter after raising $70 million of new third-party capital in our industrial open-end fund. Operationally first quarter 2018 same-store consolidated revenue increased 4.5%, but net operating income decreased 1.1% primarily due to higher snow removal and property tax expenses. Compared to the same period last year first quarter 2018 same-store revenue grew by 5.4% and net operating income grew 3.5%. Core FFO contribution in the first quarter was $12.5 million compared to $15.8 million in the prior quarter. Note that in the prior quarter we included approximately $2 million of carried interest within the Industrial segment, but has now moved carried interest income into the Investment Management segment. Adjusting for this income re-categorization the decrease in Core FFO was due to the modest decrease in NOI and increased interest expense from additional mortgage financing completed at the end of last year. Turning to our Hospitality Real Estate segment. As of March 31, 2018, the hospitality portfolio consisted of 167 primarily select service and extended state properties and the Company’s ownership interest in the segment was 94% both unchanged from prior quarter. As I've mentioned in prior calls, the first and fourth quarters are always seasonally weaker periods than the second and third quarters. Therefore we provide year-over-year same-store EBITDA comparisons for hospitality. First quarter same-store consolidated EBITDA was $59.2 million, a 3.3% decrease compared to the same period last year. Same-store consolidated revenues increased 1.6%, but this was offset by increased utility costs stemming from a colder quarter than the prior year's quarter and increased wages. Correspondingly, first quarter 2018 Core FFO was $25.9 million compared to $27.4 million during the first quarter of 2017. Our Other Equity and Debt or OED segment includes our GP co-investments and opportunistic and non-core legacy investments, which totaled approximately $4.3 billion of un-depreciated asset carrying value and approximately $2.7 billion of un-depreciated equity carrying value as of March 31, 2018. As Richard mentioned earlier, our interest in CLNC is now a separate reportable segment and no longer included within the OED segment. For this reason, and due to other asset sales in the period, the netbook value of the OED segment is approximately 32% lower than prior period consistent with our goal to reduce exposure to non-strategic assets within the segment. Due to the mid-quarter closing of the CLNC transaction, first quarter 2018 Core FFO for the OED segment included one-month of earnings from the assets that were contributed to CLNC which was approximately $8.3 million. Including such earnings, total first quarter 2018 Core FFO contribution from OED was $77.8 million compared to $47.7 million in the fourth quarter. The improvement is primarily attributable to a $25 million loss from CDO Securities in the fourth quarter after accounting for impairments, compared to a positive $8 million earnings contribution this quarter including gains on sale. Given our stated goal of being net sellers of non-strategic assets particularly within the OED segment, the earnings contribution from OED is expected to decrease over time as we monetize the underlying assets. To be more specific, the majority of the OED segment is made up of non-strategic investments totaling $2.4 billion of netbook value. Of this, we expect approximately $1.3 billion to be monetized over the next two years and are aggressively pursuing opportunities to accelerate this timing. While we will lose the related income of monetized investments, we expect to offset much of the decrease by opportunistically buying back common stock, redeeming preferred equity, deleveraging and investing in new GP co-investments that will bolster our investment management business. Turning to our largest GP co-investment and newest reportable segment, CLNC held its inaugural earnings call yesterday and the team is off to a great start. Looking ahead, CLNC is exceptionally well positioned given its immediate scale and portfolio diversification and its ability to internally finance its growth, utilizing its under leverage balance sheet and capital recycling from non-core assets that will be monetized over time. The real estate credit business is a core competency for Colony NorthStar and we expect to produce solid long-term returns for CLNC’s shareholders. During the first quarter, Core FFO contribution from CLNC was $13.4 million exclusive of the $10 million step up gain. Note that these earnings represent our 37% share of CLNC’s core earnings for the period February 1 to March 31 because the CLNC merger closed on January 31, 2018. On a related note and in a segue to Investment Management, we recorded one-month of management and acquisition fees from NS I and NS II prior to the closing of the CLNC transaction and we recorded two months of base management fees from CLNC which is calculated as 1.5% of CLNC’s $3.1 billion shareholders equity in the final two months of the period. Overall, first quarter Core FFO contribution from the Investment Management segment was [indiscernible] down from $69.6 million in the prior quarter. The difference was primarily attributable to a one-time tax benefit of approximately $27 million in the fourth quarter of 2017. Excluding the tax benefit, first quarter Core FFO was down approximately $11 million, primarily due to the sale of Townsend in December 2017, and the amendment to the management agreement of NorthStar Healthcare income, the healthcare non-traded REIT, which went into affect that the beginning of this year. The Investment Management segment ended the quarter with $27.5 billion of third-party assets under management, up from $26.9 billion at the end of the fourth quarter. Fee-Earning Equity Under Management ended the quarter at $16.2 billion up from $15.4 billion at the end of the fourth quarter. The increases in Asset Under Management and Fee-Earning Equity Under Management were primarily driven by the successful fundraising in our cosponsored digital real estate infrastructure vehicle, Digital Colony Partners. I will now comment on capital structure and liquidity. The book value of total capitalization, excluding minority interest, was $16.4 billion as of March 31, 2018. Of this, total pro rata debt was $8 billion, representing a 49% debt-to-capitalization ratio, although that ratio increases to 59% when preferred stock is added to leverage. I'd like to highlight that $6.9 billion, or 87% of total pro rata debt is asset-level, non-recourse financing, principally in our healthcare and hospitality segments. And the $1 billion remaining balance represents corporate-level debt that is recourse to the parent company. While this debt leverage ratio is consistent with our stated target of 50% debt to capitalization, our goal is to reduce leverage further as we continue to sell down non-strategic assets. Turning to liquidity, we currently have approximately $1.1 billion between availability under our corporate credit facility and cash on hand. This is after the repurchase of 48.2 million shares of our common stocks since early March for approximately $275 million, which equates to an average price of $5.79 per share. As mentioned earlier, the significant non-strategic asset sale program, within our OED segment will be a primary source of liquidity over the next two years. With our near-term liquidity, our priority is now focused on debt and preferred stock reductions, [indiscernible] of my earlier comment about delevering, in addition to investing in various new growth opportunities under a third-part capital model. All of these initiatives are consistent with our stated goal of simplifying our balance sheet and shifting towards a balance sheet light, total return, investment management business model. Last quarter was a difficult and unpleasant report for all of us but a necessary reset to establish a new baseline for the company from which to move forward and return to a growth-oriented mode. The merger integration is now substantially behind us, our culture is unified and we have established new performance-based economic incentives across the organization to align efforts, increase productivity and improve results. This is a new beginning for Colony NorthStar and we look forward to reporting on our continued progress in the quarters ahead. With that, I'd like to turn the call over to the operator to begin Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Mitch Germain with JMP Securities. Please proceed with your question.
Mitchell Germain: Good morning, guys.
Richard Saltzman: Good morning Mitch.
Darren Tangen: Good morning Mitch.
Mitchell Germain: Richard, you mentioned healthcare restructurings but you were kind of seemed to be pretty much on a high level there, so maybe if you can maybe provide some insight on what you refer to as restructurings?
Richard Saltzman: Okay, it’s mainly in the skilled nursing portfolio and these are instances where lease coverage is stressed in terms of what's happening at the operations of the asset that I think we've been transparent about. And in order to be successful in terms of keeping a sound tenant in place that can produce the results that are required, and this is happening throughout the industry in some instances you have to restructure these leases. So it's mainly that.
Mitchell Germain: So it's lease restructuring. So maybe just kind of think about you've got a pretty significant slug of debt coming to next year. And I think you guys have been pretty clear that you view healthcare to be somewhat non-core to your future. What's the long-term strategy with regards to the healthcare sector?
Richard Saltzman: Well, look I think for this year and arguably next it's to stabilize and internalize management where we can like we talked about in our last call and really once we stabilize improve the go forward operations and cash flow trajectory of what we own. We had indicated that healthcare was going to be down year-over-year this year and a lot of that had to do with some of these lease restructurings that we were anticipating. But I think what we're going to do long-term is still a question mark until we accomplish kind of the interim plan of stabilizing doing better in terms of parts of the portfolio where we're internalizing management for instance we did that with respect to medical office buildings this quarter and where we are already demonstrating better absorption and improvement in how that part of the portfolio is performing. So I think it's blocking and tackling and until we're kind of done with the blocking and tackling and just having a stable and upward trajectory portfolio in terms of its performance, we're hesitant to commit to anything from a long-term nature.
Mitchell Germain: You talked about reducing your OED exposure, but where do you see the monetizations is it some of just the properties or is it really made – I mean you can pretty much get there with the hotel portfolio in general. So what's kind of next 24 month plan there?
Darren Tangen : Sure, Mitch, it's Darren. I'll maybe take that. I mentioned that some of the gains we realized in the first quarter were from the sale of some CMBS securities. So I think the CMBS securities portfolio and CDO securities portfolio which was one of the primary culprits of our earnings volatility last year is certainly one part of the OED book that we're looking to reduce over the course of this year. Some of that may spill into 2019 as well. I would also highlight the real estate private equity fund secondary interest that was again another area or source of earnings volatility last year and that's another part of the OED book that we're looking to monetize here and in fact we've even put parts of that onto the market here in real time. So hopefully we'll start to see some monetizations in that part of the book here in Q2 or Q3. I think beyond that it's a lot of smaller investments that we may have in legacy debt portfolios. We've been working with our asset management group to accelerate some of the liquidations of the tail interest in those loan portfolios and have put some of those loan portfolios on the market through various brokerage organizations. So it's really I mean those as you know there was about 80 different positions in the non-strategic OED book and so it's just it's again a lot of blocking and tackling, the steal a word from Richard in the case of working through an accelerating sales and monetizations in that part of the portfolio.
Mitchell Germain: Great. Just two more for me. Capital allocation it seems like last quarter there was a lot of emphasis on the buyback it seems like this quarter is a lot more emphasis on de-levering it seems like more people want the buyback as well. So how do you kind of put the different you also co-investments, how do you weigh them all us to what's most important in terms of how you kind of look at your strategy going forward?
Richard Saltzman: Well, I mean look I think to some degree you gave the answer in your question, right. We prioritize buyback first because that's where we thought we would get the biggest bang for the buck if you will, but as part of doing a buyback, you're increasing your leverage, and whereas our longer term goal is to reduce our leverage. And so to the extent that we're close if not almost done with the plan that was authorized and announced last quarter, now we want to move on to making sure that the leverage is kind of kept in check consistent with the number of shares that we did repurchase. So that's kind of the next step. Albeit always balanced by where we can deploy capital in a smart intelligent way for our strategic purpose of growing our Investment Management business. So we always need to be mindful of that in terms of just making sure that we have adequate liquidity for the parts of our business that we do want to grow predominantly with a third-party capital contract as we've described. So that's how we analyzed.
Mitchell Germain: So last one for me is, I mean should we expect the Board to be putting other buyback in place now that this one's been almost fully utilized?
Richard Saltzman: Well, I think we have to deal with the deleveraging first that's the next element here and then I think we'll cross that bridge after we've delevered adequately.
Mitchell Germain: Thank you.
Richard Saltzman: Thank you.
Operator: Our next question is from Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thanks very much. And thinking about strategic alternatives, does M&A in the alternative asset management space make sense?
Richard Saltzman: It could. Certainly for areas where we don't necessarily have a presence today and we think they maybe very compelling on a go forward basis, we might consider something like that for sure.
Jade Rahmani: And what about in the case of selling the Company?
Richard Saltzman: In selling our entire Company you mean?
Jade Rahmani: Yes. Colony NorthStar be acquired by a larger firm.
Richard Saltzman: Well, I mean look we're clearly trying to maximize shareholder value, so we're pretty opportunistic flexible group and always open minded about what might be happening in the market in any given point in time. We're certainly not focused on that in any way shape or from, but if something came across our transom that all of a sudden looked like it was incredibly compelling and synergistic, sure, we would consider it.
Jade Rahmani: Okay. That's helpful to hear. If you have an estimate of cumulative net gains or losses on the OED portfolio in entirety?
Richard Saltzman: So Jade, is the question, what is latent that that maybe realized in the future within that segment or are you talking about what was realized in the first quarter?
Jade Rahmani: Well just the entire remaining portfolio if it was liquidated today would there be a net gain or net loss?
Darren Tangen: So look I think we're probably fairly valued, as I think you know the legacy NorthStar assets that sit within that segment were marked a fair value a year ago when the merger closed. There are – the legacy Colony investments that sit in that segment were carried over at historic cost. So where there are gains they are generally the legacy Colony investments just because of that accounting that took place during the merger. There certainly are some investments that were legacy Colony that we do expect to realize gains on in the future. And I think one that I've highlighted in the past is we remain optimistic that our Albertsons/Safeway investment could be one that could produce a realized gain in the future and there are others such as that. So I'm hesitant to give you a specific number. I think well maybe another comment on this topic is, is the fact that last quarter when we were talking about gains contribution to 2017 earnings, I think I did mention that we do expect gains to continue to be a part of our earnings picture here in 2018, and in fact, they were here in the first quarter as we just mentioned. But certainly, not to the same degree that we saw in 2017 when gains approximately 25% of our earnings. This year, they’re going to be quite a bit less than that in terms of percentage contribution. So there are still latent gains. We are expecting to realize some of those but they're less significant today than obviously, they were a year ago. In term of the CDO portfolio and the secondary PE portfolios, is there hesitancy to sell the entire – the entirety in one shot because of the headwind to earnings that that would create?
Richard Saltzman: No, and in fact in the case of second – the private equity fund secondary interest, we are looking at a potential wholesale liquidation or sale of that part of the book. In the case of the CDO securities, which is a more eclectic mix of CDO securities, it's probably not practical that there would be an appropriate buyer for all of that together. So we're really approaching that more on a case-by-case basis, and trying to maximize value in some securities that are in some cases, rather a liquid or have various complexities around them, which may make a sale in the next one or two quarters difficult. But if it's possible to monetize those at a value or a price that we think is fair, we're going to sell them. And the quicker that we can sell in non-strategic assets in the OED segment, the better. So we’re not holding back because we are worried about losing income. If we get that capital back, as I think Richard mentioned during his remarks, we’re going to just reinvest that into, whether it's common stock, buybacks or preferred equity redemptions. I mean, there ways we can mitigate the loss of income by redeploying that capital and, all the while, we're simplifying the balance sheet.
Jade Rahmani: Okay, that’s good to hear. Neale, $2.4 billion of net book value in the Other Equity and Debt segment, you mentioned $1.3 billion of monetization. What would be the remaining $1.1 billion? Is that the PHL portfolio, or is that something else?
Richard Saltzman: The two big components that would remain there, Jade, are the PHL portfolio, as you say, which is the large hotel portfolio that we stepped into the ownership of last year and we just refinanced at the end of last year, we're now embarking on quite a significant CapEx program that because there's been a fair amount of deferred maintenance that was the case for that portfolio when we took ownership. So the goal there is to spend the CapEx, create some value, stabilize that portfolio and then sell. And that is outside of our two-year window, so that's part of the answer. The Second, as we’ve got about a $350 million investment in a multifamily portfolio, sitting in a preferred equity position today, and that's an investment that we've suggested in the past. We still would like to try to figure out a way to restructure that, so that it could potentially become a new strategic third-party capital vehicles focused on the multifamily sector. So those are the two big areas of OED segment right now, which are not part of our two-year liquidation plan.
Jade Rahmani: Thanks very much. I’ll get back in a queue.
Richard Saltzman: Thanks, Jade
Darren Tangen: Thanks, Jade.
Operator: Our next question is from Jason Arnold with RBC Capital Markets. Please proceed with your question?
Jason Arnold: Hi, good morning guys. Just a follow-up on that OED category. Just wondering how much of that that's remaining kind of still in the lower or no yielding kind of category there?
Richard Saltzman: Jason, thanks for the question. I think on the last call, last quarter, I mentioned that for the OED segment and this is across all of the OED investments both strategic as well as no-strategic that we we’re expect a Core FFO yields of approximately 8% based on what would be a declining balances we were projecting sell some of those assets over the course of the year. But I would say, on average you’re looking at around an 8% sort of yields across this entire segment. Now you're right to point out that there are certain investments in there that currently have no yield and our investment in the Albertsons/Safeway consortium would be an example of that which is producing zero yield. And there are other investments that are producing more than that 8% average, but hopefully that gives you a little bit of a guide line of kind of what's perhaps rolling off as we sell down this part of the book. And then turnaround and need to reinvest that but we think we can reinvest that capital accretively relative to those levels.
Jason Arnold: Okay. Super thank you. And then obviously a lots been going on over the past several quarters. But I was just curious if you can speak about kind of how we should think about the go forward run rate on the comp and admin expense one ends in particular.
Darren Tangen: Yes, so we're able to achieve significant G&A cost savings last year, well in excess of the targets that we had set going into the merger and had communicated over the course of the year. I would say from a cash G&A number we had previously I think guided people to a number somewhere around $210 million that's an annual cash G&A number for the company net of the various savings that we've realized to date. So I would say for now that's probably the right number to think about that that we're certainly trying to manage to this year and will sort of see as the year goes on there may be some opportunities for us to continue to find other savings opportunities but. But for now that's the right number.
Jason Arnold: Okay. Super. And then I guess just one last one for me on the preferred paydown opportunity. Would that be something that you guys would consider like a refi or just a compare paydown and then maybe timeframe bigger picture on how you'd expect to deliver and maybe guide on kind of what sort of leverage target you might be ideally achieving over time?
Darren Tangen: Sure. So I would say for now preferred redemptions are probably not going to coincide with the new issue we're just going to use asset sale proceeds as we monetize positions in OED and use that capital to redeem the preferred. And I think that's consistent with as we migrate to this different business model of being more balance sheet like. We really frankly don't need the same amount of balance sheet capital that we may have today to pursue and prosecute that business plan. And so I think that's the reason why at least for now we can shrink a little bit. We can sell some of these assets and redeploy those assets into the right side of our balance sheet by buying back common stock or redeeming preferred we do as Richard highlighted want to save some amount of dry powder to play offense with and pursue new investment strategies as well. But I think that's our mode for now. As to how long it's going to take us to accomplish everything we want to accomplish in terms of delivering and resetting the balance sheet. It's really going to coincide with the timeline for exiting all these non-strategic assets and businesses. So I think we'll accomplish a lot over the next two years, but we won't be complete in two years. I mean some of the non-strategic assets that I was mentioning before whether it's the THL portfolio or some of the other things that we may ultimately want to sell that could be on a more like three-year or four-year timeline. So it's going to be a process I think again will accomplish a lot by the end of 2019, but there will be ongoing work beyond that.
Jason Arnold: Okay. Super. So like I mean, maybe 0.3 debt-to-cap or something would be – maybe be more what you would like to achieve or is it just truly based on, what can we dispose of them and kind of where the opportunities lie?
Darren Tangen: Yes. I think 0.3 or 0.4 debt-to-equity, debt-to-cap would be, yes what we would ultimately like to get to, correct.
Jason Arnold: Okay. Super. Thanks so much.
Darren Tangen: Thanks Jason.
Operator: [Operator Instructions] Our next question is from Randy Binner with B. Riley Financial. Please proceed with your question.
Randolph Binner: Hey, good morning. Thank you. I was hoping we could go – jump back to the Core FFO and get kind of a percent walk, if you will, from the $0.20 reported this quarter to the $0.16 kind of ongoing run rate. I think Darren, in your comment, you indicated that for the rest of the year, we should expect quarterly results more in line with the outlook you provided last quarter. So I mean just kind of trying to isolate how much was gained funding cost, other items that goes back to the $0.16?
Darren Tangen: Yes. Well, as you know Randy – and thanks for the question and good morning. That we do have some seasonality in our business and I touched on this during my remarks that the hospitality aspect or component of our business does produce some pretty significant seasonality where Q1 and Q4 tend to be lower than Q2 and Q3 in that part of the business. But just focusing on our first quarter results a little bit, the $0.20 Core FFO result when you exclude the net gains and you exclude the carried interest income, we mentioned that was $0.03 a share that brings you down to about $0.17 a share. And then there was some various other non-recurring items that occurred in the quarter which were mostly positive this quarter, which is about another $0.02. So if you adjust for those that would bring the $0.17 down to something closer to $0.15 as it relates to the first quarter. Now trying to compare that back to the fourth quarter which I think was part of your question is a little more challenging just because there was a lot of differences between the results in the fourth quarter versus the result this quarter. Things, including the CLNC transaction which closed mid first quarter or there was various things going on last quarter which are no longer relevant today and in particular in the Investment Management business where Townsend was sold and various management agreements were restructured as I highlighted. So it's probably a longer conversation to go through. The list of everything that change from fourth quarter to first quarter, but at least coming back to what I just mentioned as far as some of the components of the first quarter results, hopefully that gives you some sort of guidance in terms of thinking about the balance of 2018.
Randolph Binner: It does. That's perfect. And then just on capital management and potential deleveraging. You all talked about the preferreds and pretty good detail about I think $350 million that's callable in two separate issuances. I guess, I'm curious though, that can be called, but if you didn't want to call it, it would be permanent capital, albeit expensive. Then you have some converts in 2021 and 2023. I think those are your kind of nearest term maturities that you would think about from illiquidity perspective. So if we think out about that long-term, how do you think about the trade-off between retiring higher cost preferreds and preserving liquidity in light of those maturities?
Darren Tangen: Well we're certainly planning for both. You are correct that there are $600 million of convertible debt outstanding at the Company, $400 million is callable in 2021 and $200 million is callable in 2023. Now we can't pay that off or call that debt at this juncture, so I think we're thinking about delevering holistically and we would like to bring the $1.6 billion preferred equity balance down some, and of course, what we're looking at right now are the two series that are callable that you just mentioned. But as we get closer to 2021 and then ultimately 2023, we need to have a plan in place to address those debt maturities as well. And so there's certainly an area of focus and we'll be managing and planning to accordingly.
Randolph Binner: All right, thanks. Thanks for the answers.
Richard Saltzman: Thanks Randy.
Darren Tangen: Thank you.
Operator: Our next question is from Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thanks, I appreciate, taking the follow-up. Just around hospitality, is there a prospect to spin off an externally managed equity REIT?
Richard Saltzman: Well, you could. I mean certainly we've had conversations with groups that would love for us to do that. But we're certainly not thinking that way at the moment. What we are thinking about doing is maybe selectively either selling parts of the portfolio and or creating a third party capital construct round select portions of the portfolio, that's what we're focused on currently.
Jade Rahmani: Okay, yes that seems to make sense. I mean spinning it off when really be more than financial engineering, although you would probably get management fees? And then on the digital infrastructure fund, what are the cap rates are targeting and what are target returns and I think there's been some reports that you've lined up total commitments of $3 million, so just want to confirm that and see if fundraising success to-date has exceeded your expectations.
Richard Saltzman: Well, listen for legal reasons we can only disclose what we have about that at the moment so unfortunately Jade, we're not able to respond to your questions. We did the best that we could with our legal advisers in terms of what we were able to say in today's call. But we really can't go beyond that unfortunately.
Jade Rahmani: Okay, and finally on the industrial business, what are your thoughts around the eventual maturation of the business as well as your ownership of the platform, is this something you could IPO or merged with another player or do you think that the current open-end fund – open fund structure is the best structure for it?
Richard Saltzman: We do, we like the open-end fund structure and there seems to be a lot of interest in that structure. On the institutional side maybe even consensually in terms of some kind of retail sleeve on a go forward basis. So we're pretty sanguine about that and the business is doing great. We're where in an area, which is more fragmented. So we think there's lots of additional ability to grow our platform and consolidate. We're still – even though we're a very large owner. We're still a fraction of what the market has to offer – I mean light industrial generally speaking I think is about 60% or so of the investable industrial space here in the U.S. and of course because we are infill locations that are in close prison proximity to urban centers. We're benefiting disproportionately from some of the e-commerce trends as well as the underlying strength in the economy at the moment. So fundamentals are really great. Capital formation prospects are also excellent and we have the pieces in place to be able to meaningfully grow that business in the current construct that we have and that's what we're going to continue to do for the next couple years at a minimum.
Jade Rahmani: Thanks very much.
Richard Saltzman: Thank you. End of Q&A
Operator: Ladies and gentlemen, we have run out of time for the question-and-answer session. At this time, I'd like to turn the call back to Richard Saltzman, President and CEO for closing comments.
Richard Saltzman: Okay. Thanks again everyone for joining us. Following our recalibration, it's really good to have a full quarter behind us, demonstrating both stability and growth. Our mantra is simplify, streamline and grow our Investment Management business and we look forward to reporting more on that progress in ensuing quarters.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.